Operator: Good day and thank you for standing by. Welcome to the Peyto’s First Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Darren Gee, Chief Executive Officer. Please go ahead.
Darren Gee: Alright. Well, good morning, everybody and thanks for tuning into Peyto’s first quarter 2022 results conference call. Before we get started today, I would like to remind everybody that all statements made by the company during this call are subject to the same forward-looking disclaimer and advisory set forth in our news release issued yesterday. We have got a big room full of Peyto management team here to answer your questions. Today in the room with me is our President and Chief Operating Officer, JP Lachance; Kathy Turgeon, our Chief Financial Officer; Scott Robinson, our VP of Business Development is here. We have got Dave Thomas, VP, Exploration; Todd Burdick, VP, Production; Lee Curran, our VP of Drilling and Completions; Derick Czember, our VP of Land is here too; and new VP of Engineering, Riley Frame is here. So we are all here to answer your questions. So, feel free to pepper us with questions when we open it up. Before I get started just commenting about the quarter though I do want to recognize both the efforts of our office and our field personnel this past quarter. For those that care to recall, we had a fairly bitter winter in Alberta over the first quarter with lots of minus 40 out in the Edson area, particularly right after Christmas. And while most of us basked in the warmth of our homes, it was only because of the hardworking people in our industry that kept the gas flowing and the heat in your furnaces. And that included the hardworking people at Peyto, particularly our field staff that had to brave that weather to keep the gas flowing and plants running. So, feel free to send me a note of gratitude and I’ll pass it along to them. I, for one, was very glad to come in from all the cold winter to a nice warm house heated by natural gas. And not only did the Peyto staff keep the gas flowing, but they grew production in the quarter, so that we had more to consume. So thank you all for that. On to the quarter, we had a very busy quarter with drilling completions, pipelining, and facility construction all going on throughout the quarter. Of course, the economics of new capital projects were the best we have seen in a very long time. And so we tried to put as much capital to work as we could. All that work resulted in production growing from 97,000 in the fourth quarter to 105 in the first quarter. And we really didn’t see the full effect of the first quarter activity until mid-April and we brought on the Chambers plant and finished up with all our tie-ins and then production jumped to 106. And that’s about where it’s been since. We expect we can hold at that level until we come out of breakup and start completing and tying in the new wells that we have been drilling through breakup. And so hopefully production will keep climbing from there. Of course, all this new production is exposed to spot price and that is way up. And it also pays the minimum 5% royalties, so it has a big impact on our cash flow going forward. As part of our drilling in Q1, about half the wells were Cardium and that, of course was driven by where we had available plant capacity in Wildhay and Brazeau Chambers and it was partly driven by very high oil prices that drove high condensate prices. So, we wanted to take advantage of that. As we move through the balance of the year, we will drill a higher percentage of Spirit River wells that will take advantage of the now higher gas prices, which looks to be very strong throughout the summer. Technically, we only drilled 3 extended reach horizontal wells in the quarter, just that’s the way the lineup came together. But one of them was a record for us over 6,000 meters in total length, 6 kilometers of drilling and over 3,100 meters of horizontal lateral. So, that is an enormous technical feat with the drilling rig and perhaps Lee can tell us a little more later about the challenge of pushing that rope all the way out 6,000 meters. The team was busy in the quarter taking down another acquisition. This was a corporate acquisition this time. So we accounted for it a little differently. You can ask Kathy how that happened. And this deal had some interesting aspects for Peyto. So, it wasn’t just the purchase of some producing wells and undeveloped lands like we did last year in Cecelia, which actually turned out to be a great deal for us by the way. But feel free to ask Scott about this latest one. What else happened in the quarter? Well, yes, we did record funds flow at over $200 million, that’s a new high for us. The previous record was in Q4 of 2014 when we had, I think it was $179 million in funds from operations. So, this $200 million boundary is now broken. And hopefully we can continue to beat that in subsequent quarters this year and continue to grow our cash flow. Our mechanical hedging activity meant that we gave up some opportunity this quarter. We had a bit of a hedging loss, of course, but we will have to remember that we do this mechanically every week, every month, every quarter and we continue to take that future price off the table. And considering that we have close to 9 years of producing reserves, we don’t really have a lot of it forward sold. I think it works out to about 13% of our PDP reserves that have a fixed price on it today. So there is still a lot left over that gets the option of higher gas prices into the future. Overall, we are finally back to our historic operating margins of greater than 70% and profit margins of around 35% that’s always been the strength of Peyto is really high margins. I am glad to see that we are back at that level. We have managed to get higher commodity prices and hold on to our cost structure, so that we are really seeing big margin expansion right now. And I think if we can hold at these levels that will ultimately drive return on capital employed into the high-teens, again, where we have historically been and what we are striving to deliver for shareholders. I can also say that with where things are going and the commodity price outlook today that we are eager to get to the end of this year. We will be bringing down our net debt significantly this year and being at the end of the year in a really strong position to look at boosting our dividends to shareholders and other means of returning – returning capital to shareholders. So it’s an exciting year for us. We are off to a great start with this first quarter. And things are looking really good. So, Victor, that’s probably enough of me. Why don’t we open it to questions from those listening in?
Operator:  Our first question comes from the line of Michael Harvey from RBC Capital Markets. Your line is open.
Michael Harvey: Sure. Good morning, everybody. So, just a couple of bigger picture questions on capital allocation. So, the first one is on cash taxes, obviously, the byproduct of a profitable business, but you got to pay some later this year. So, does that change any of the drivers of how you are running your business that could mean buying other producers for those NOLs or drilling more to get more deep pools or is it just kind of a cost of doing business? And I guess the second one, just on the use of cash, obviously, the market is pretty fixated on dividends and buybacks, but the returns you are getting in your projects could suggest that you are going to get a better improvement to your return on equity despite by drilling those up as opposed to dividends, but would love to hear just how those discussions play out kind of in the boardrooms as it relates to how to allocate that capital?
Darren Gee: Yes, good questions, Mike. The first part in terms of cash taxes, we do expect that we will pay a little bit of cash tax, probably in 2022. We will see how the commodity prices play out, but with some of the really high prices that we are experiencing today and if those carry forward into the rest of the year, even with the good tax flows that we have accumulated over the years with all of our capital investments. And even with the accretion of some pools from this acquisition that we did at the start of the year, we might have a little weed tax bill at the end of the year. But that doesn’t really influence our investment decisions. I think the rates of return that we’re looking to achieve with the capital are both before and after-tax good rates of return both before and after tax. So – and quite frankly, the economics that we are looking at today, with the commodity price forecast and where our cost structures are and the type of wealth that we are getting, we are just driving some fantastic returns regardless of whether we are paying tax on those or not. So, the incentive is definitely there to put as much capital to work in the ground as we can. And so the second part of your question in terms of capital allocation, we would love to do more. We would love to take more of our cash flow and put it to work for shareholders, because that’s how we truly create value for them. Giving them back the profits that we are earning on previous capital investments, that’s great. We have always done that with our dividends matching to our earnings. But in terms of returning more capital to them, that just means they have to go and find some place to invest it and the type of returns that we are able to generate by investing it in the ground today are probably better than they can find anywhere else. So we would love to be able to invest it for them, drilling wells. The challenge, of course to do that is we are kind of at the limit of the people and the equipment and the amount that we can go and do. We have got the 5 drilling rigs running today. We have been keeping them very busy. I am glad we picked up that 5th rig mid last year and brought it into fold. That was a very smart decision, I think on our part to get that equipment going. We are going to do as much as we possibly can with those 5 rigs this year. I think the decision to drill through breakup is part of that. We will see if we can get more done. And then if that frees up room to do even more later in the year, then great, maybe we look to expand our capital program in the back half of the year, we have that option to try and do more, if the economics are still looking as good as they look today. The industry though is kind of tapped out, the good quality rigs, the good people that can get you the efficiencies that you want to drive these type of economic returns are all working. And until we really build up a lot more capacity in the industry, I don’t know that there is a lot more that we can do. There is always the issue of egress too. And I think gas producers are keenly aware of the fact that last time around, we built out far too much supply in advance of expanding egress that just didn’t happen fast enough. And we caught ourselves in the gas price took it on the chin as a result. So we don’t want to do that. We want to make sure that the egress is at least expanding as fast as the basin is growing, or maybe even faster that would be a more comfortable place for a lot of the gas producers. So, I think collectively we still have that fresh in our minds and nobody wants to overbuild until the takeaway is there.
Michael Harvey: Got it. Thanks for that.
Darren Gee: You bet. Thanks for the question.
Operator: Our next question is come from the line of Travis Wood from National Bank. Your line is open.
Travis Wood: Yes, thanks. Good morning. I wanted to hear you kind of walk through the inflationary pressures you mentioned, expect the metrics to continue improved despite some inflationary pressure? Could you unpack on the capital side kind of where you are seeing that on the capital spending equation and then could you help us kind of get a better understanding on where you are seeing that as well on OpEx?
Darren Gee: Yes, good question, Travis. I am going to turn that over to both JP here to talk a little bit on the capital side and maybe even Todd can talk a little bit on the production side about the inflation and how we are mitigating that.
JP Lachance: Yes. So like, I think like all companies and businesses were feeling the effects of obviously of rising supply costs, everything from steel to frac sand to methanol at all has a different sort of factor here that’s going on. So, when you think about that, all that stuff has to get trucked or trained as well. So we are seeing a significant increase obviously and they play a role of the transportation costs to get this stuff to us, so we can use it right, all that’s playing out within. And we are seeing that, of course. We have a steady – we have had a steady program over the last several years. So the strong relationships we have with our suppliers, we recognize that they have to flow some of that through to us. So we get that. But overall, I think we have seen about 10% to 15% certainly on the capital side. So far, in Q1, we expected that we budgeted for that. So, when we look at our program, we – in our returns recognize that our future returns and the prices that we put into our models into our type curves. So we kind of budgeted for that in our cap efficiency. We are expecting that to be a little higher this year, for sure. I am hearing a lot about how companies have mitigated their higher cost with improvements to the cap efficiency to their actual – the work they are doing out there. But you got to remember that we are one of the lowest cost producers in the basin. We are the lowest cost producer in the basin from an operating perspective. And so, I think that cap efficiencies are focused for us each and everyday. It’s not something that’s changed over here. So, our natural installation to this sort of rising cost is just the fact that we are starting lower than everybody else. So, just the same we are going to continue to do stuff like drilling extended reach horizontals. We will draw as many as many pads as possible. We will make use of our tele double rigs versus more expensive triples. And we are certainly going to help – that will help mitigate the cost as we go forward, but the prices here still make great returns and we are seeing some fantastic payouts, just the same. So, one of the things, that we have to remind ourselves in our service providers is that despite the sort of most recent quarter, these are all forward-looking prices and we haven’t realized them yet. So, we shouldn’t get too far over our skis here with cost creep, if we can control it. That’s – I guess that’s more around the capital side, a little bit of the operating cost discussion, maybe Todd you can add a little bit on what you are seeing how we are mitigating?
Todd Burdick: Yes. I think, you mentioned 10% to 15%, on the capital side. And that’s pretty much what we are seeing on a lot of the pieces of the operating cost, especially chemicals are probably even higher. We are able to mitigate the costs of methanol. We are probably about 10% lower than market just given the contracts that we have been putting in place each year in the summertime. So, that’s helped. But for sure, the market price of methanol and a lot of corrosion inhibitor chemicals and stuff are derived from oil and natural gas. So, we are seeing 20% to 25% market price increases on those, but we are able to mitigate that. I think given that our assets are very condensed, close together that helps, because you have got to pay truckers, they have got to buy fuel and that sort of stuff. And fuel is up higher. So we have worked some agreements with those guys who have been working with us for a long time. And we recognize that they are feeling it. And so we have allowed them to put some increases in place, but we have worked with them to make sure that they are in line with the – with what they are feeling. So we will be able to drop them back hopefully when fuel prices come back down. It’s about efficiency and just trying to be as efficient as we can to mitigate those costs.
Darren Gee: Recall to that, couple of years ago, a few years back now that we made infrastructure investment in a lot of liquids handling pipelines, so that we didn’t have to truck as much. And that investment is really paying us big time today, because when you are looking at diesel charges and trucking charges going way up, we don’t have that because we have already put in the pipelines that can take the fluids to those central locations, where we need them. So, we did that at the time to mitigate the trucking and some of the environmental impact of trucking and the cost of the carbon tax. But it’s going to pay us even more return here, because the fuel charges, gets mitigated as well.
Travis Wood: Okay. And that’s great color. Maybe one more follow-up just on CapEx that the Chambers plant, that seems like a pretty good cost, considering everything that we just talked about. Did that come in under budget or was that on budget?
Todd Burdick: It was on budget. We did have a lot of equipment that we had planned for another plant. And so we had held on to that equipment. So, we got a great sale, if you want to look at it that way on that equipment. We had preserved that equipment. And so we were able to do a little bit of work to it, but the preservation keep things in pretty good condition. So, I guess we came on budget, some of the labor costs we even saw cost increase come from the vendor during the construction, which we have never seen. But they were losing guys, so we needed to – we needed them to keep the people so we can get the plant done. So, yes, great project all in all.
Darren Gee: And recall, Travis, I wrote up in my  this past month about the Chambers plant startup and that was one of the fastest plants we have ever built in terms of timeline. So a testament to the guys to have it all preplanned out and executed on time, on budget and even faster than we have ever built a plant before. I had to laugh because I got an e-mail from an investor who lives in Australia. And he was just blown away that we had basically put a plant down and got it up and running in little over 100 days. He told me that it took him over 2 years to equip a well and tie it in down in Australia. So, the speed at which we can move here is important, because it translates into more time producing the cash back to pay for the investment in the first place and shortens our payout time and then obviously improves our rate of return. So being able to move fast is an important feature. And I think Peyto is one of the leaders in terms of how quickly we can get stuff done.
Travis Wood: Fantastic. Thanks for the color and the detail there. That’s all.
Darren Gee: You bet. Thanks for the questions.
Operator: Our next question comes from the line of Aaron Bilkoski from TD Securities. Your line is open.
Aaron Bilkoski: Good morning. Thanks for taking my question. I have a couple of LNG related questions for you. The first is, we have seen a couple of the Cardium producers sign JKM based contracts with Cheniere. I guess I am looking to understand whether or not Peyto would meet the requirements to be a counterparty for these type of agreements and I am thinking from a size, a resource and a credit perspective? And if the answer to that is yes, is this something that you would look to pursue?
Darren Gee: I think the answer is yes. We are not as big as Tourmaline and ARC, the guys that have signed up some of those deals. I don’t know if the counterparties are looking necessarily for BBB credit with their counterparty. So they are looking for guys that have big resource behind them. I mean, if it’s the latter, then definitely we should be a consideration. We have little over half of Bcf a day of production we do have a very long reserve life. So we can look at long-term contracts, 15-year type dedications, we did that with our Cascade Power contract. Obviously, we’ve got a 15-year contract, dedicating after that power plant. So I wouldn’t think that a long-term contract to an LNG offtake in that order is out of the realm of consideration for us. That’s why we are part of the Rockies LNG Group is to look at those kind of things. I think we still have optionality in terms of which direction we might look for LNG export. The West Coast to BC, I don’t think is a given necessarily, because we have just seen that Western Canadian producers can also get the transport through the pipe down into the Gulf and look at that as an option for LNG export. Obviously, that’s moving a lot faster than the West Coast of British Columbia. It doesn’t seem like we are seeing the same kind of cost overruns in the Gulf of Mexico in terms of those LNG facilities and the pipe to get to them that we are seeing to go to BC, unfortunately. But I was just here at an LNG conference on Tuesday in Vancouver and there is a lot of enthusiasm still for BC LNG exports. There is a lot more, I would say, pull these days from the Asian markets that would take most of that BC LNG, $30 LNG prices around the world as opposed to $15 last time, we were at these kind of conferences talking about new BC LNG projects. So I think there is a lot more interest in Canada. And there is still like I say, a lot more pull from the buyer today to hopefully get these projects across the line, get things up and running. This decade is going to be a real interesting one. Because I think once the first project comes on, we are going to get a chance to see how quickly as an industry we can move to accelerate and advance that. The U.S. was only exporting 3 Bcf a day in 2019. And here, we are looking at 2022 and they are up to 12 go into 16 Bcf a day in the near horizon. So they have ramped up really fast. And I hope that Canada can do the same once we get going. And from Peyto’s perspective, we have got long reserve life and we’d love to be aligned with some of that export for sure.
Aaron Bilkoski: Thanks, Darren.
Darren Gee: You bet. Thanks for the question, Aaron.
Operator: Our next question comes from the line of Chris Thompson from CIBC. Your line is open.
Chris Thompson: Hi, good morning. Thanks for taking my question.
Darren Gee: Hi, Chris.
Chris Thompson: In terms of accelerating the capital spending, how much of your original guidance would you then plan to be through by the end of Q2? And then the second part of the question is, how are those working rigs contracted in terms of keeping them working in the latter half of the year? And it would seem that a capital increase therefore seems likely unless you are going to give up those rigs?
Darren Gee: Yes, so good question. Riley, why don’t I turn it to you? Ask you about that allocation of capital and how that budget looks playing out right now, if we don’t exceed our capital guidance, what would the next couple of quarters look like? And I guess what would they look like? Obviously, we would have to exceed our capital guidance if we keep them running and then maybe we can ask Lee here about the contract?
Riley Frame: Yes. So as Darren mentioned here, we are going to stay more active through Q2, which is going to pull some of that capital forward. Obviously, the reasons for us doing that are pretty obvious with new prices being where they are right now. So, we will expect to spend a little bit more capital in the next quarter, in the next two quarters than we would have initially. As we roll out a breakup here, I think we will be ramping back up to five rigs. And I think the activity will be, obviously, two rigs in Brazeau, with a steady diet of trying to fill up our Chambers facility and Brazeau facility, three rigs in the Greater Sundance area. And with that activity levels, we will be pushing, I think towards the higher end of our guidance here at $400 million as we come towards the end of the year, so.
Dave Thomas: I think we had scheduled, Chris that Q4 capital now is lower than what we had originally envisioned, which would be, I guess a bit of a slowdown now leads Elite. Typically, we go into the end of the year, and there is a bit of a Christmas break. And sometimes we do shut breaks down for that Christmas break in mid-December. That slows things down a little bit. But the rig companies are going to have worked pretty hard all year long for us. Is that going to be a big issue for them, if we have a little bit of a slowdown in the fourth quarter, or conversely, are they ready to just tear right through next winter fall on no break?
Lee Curran: Yes. I think the appetite is going to be strong to keep operating. So, we will have to monitor that. You got to remember these rigs have been are stable, some of them were better than a decade. So, the relationships are pretty strong. The individuals at the field level on a deem data was their home. So, there is an element of loyalty. Now, we were very respectful of that relationship on the revenues that these contractors are expecting. So, I think it’s going to be tough to play out until we get closer to that point in time when we have discussions about whether that capital program is going to be expanded. By all means the opportunity to window those rigs out to another operator will certainly be there based on activity levels. I don’t think we would have a harder time asking operators to help us keep our rigs busy and then get them back in Q1 if that’s what it comes to. But we got to kind of wait and see how that shapes up. Our contracts are written. We are in a kind of a spring cycle. So, we are pretty fixed on what those look like. For the year, I think you asked about some increase in the rate. So, we have just signed those. Doesn’t make us immune from any flow through increases, we have a labor increase, another labor increase, that will be the third one through wages in the last 12 months. So, we have got a labor increase coming on June 1st. And we understand that we got to work with those pressures. We are in a tough game where we are having trouble attracting new people to an industry, when we are only running a couple hundred rigs if you remember back in 2006, when we run 800 rigs in this space and kind of scratch our head with our people then. But so we have a little bit of insulation. We are not completely insulated from that cost creep. We have to continue to attract and retain people. So, those things are going to flow through. But as far as increasing margins with our rigs we are well insulated on that front. So, like all things, it’s a risk, but our relationships with these contractors are strong. Showing our loyalty over the last 4 years to 6 years of downturn, I think that puts us in a different category, as many of our peers that are having to throw out top dollar to just get anybody to show up and work.
Darren Gee: Well, I would add because we have to be sensitive to the labor issue right now. As Lee pointed out, a lot of the people that are working on these rigs that have worked for us for many years are the same people. And you can’t work people to the bone either. We have to make sure that we are giving people enough down days that we are not exposing ourselves to safety issues or exposing them to any risk. Guys have to have a break every once in a while and I know that even though they maybe haven’t worked enough during COVID and they are trying to make up for some lost time. We still have to be safe out there. We still have to have the good people working for us. And we have to respect their needs as well. So, a lot of the reason that we shutdown at Christmas is to give guys a bit of a break, and make sure that we are not pushing people too hard through the winter program. So, we may still have a little bit of down days, which would make our fourth quarter a little bit less capital than if we were to plough right through. But we have to remain nimble and sensitive to that as well.
Dave Thomas: If I could add to that. There is one more point here we could add to that. That’s regarding the fact that we would have budgeted for two rigs running through breakup anyway. So, really, what this is an acceleration of two rigs where they work through the breakup period. So, that’s maybe eight wells or something like that extra beyond what we planned. So, it isn’t – it doesn’t mean we have to slowdown in the back half of the year, but certainly, as Lee indicated, we have that ability if we needed to, if we had to.
Chris Thompson: Yes. We are talking about $25 million-ish type in terms of capital?
Darren Gee: Yes.
Chris Thompson: Okay. And then just on similar thread there, as you do, look at increasing your capital spending, potentially that comes with additional production? Is additional production going to have to come with additional infrastructure spending, or should we just think about it as purely half cycle economics at this point?
Darren Gee: For this year, definitely, it’s the half cycle economics I think, correct.
Lee Curran: We built out the infrastructure in the first quarter here.
Darren Gee: That said, we are drilling in some areas that obviously have some long-term plans in then. And we were hoping that those are going to lead to new plants and new infrastructure, new facility constructions, White Horse jumps to mind where we have got some wells already there. And we are testing out that play area. And we are going to drill some more and hopefully, we can get to a critical mass there where we have got a new station going in. And we already have the metering station, arguably, a new gas plant going in. Gear might be a little tough in terms of timeline, so we have to plan in advance. And maybe we can shuttle – shuffle around some of the existing equipment that we have. We have got a Galloway plant that’s just sitting there. We have got probably some spare equipment in this Aurora plant that we purchased with the corporate acquisition. So, we can potentially take advantage of that, too. But we don’t engage in any more big facility projects this year. Just like you say, half cycle economics.
Lee Curran: We have got some running room in Greater Sundance and down in Brazeau, Chambers area with the Aurora plant and we have got room in Brazeau, where we will be able to get through the year without any issues.
Darren Gee: So, we are up, that’s the plan.
Chris Thompson: Great. Okay. Thank you.
Darren Gee: Thanks Chris.
Operator: Thank you. We have a follow-up from the line of Michael Harvey from RBC Capital Markets. Your line is open.
Michael Harvey: Yes. Sure. Thanks. Just a follow-up here on, I think Travis question. So, you mentioned that 10% to 15%, inflation, which would be pretty much close to best-in-class. And we are just trying to line that up with the cost table you put in your release, which would seem to suggest drilling is up 17%, fracs, up almost 30%. So, I know there are some differences in timing, well type, length, all this kind of stuff. But maybe you could just sort of square the circle for folks who might be doing the same simple math we are?
Darren Gee: Yes. You bet, Mike. And that’s why we made the comment that, that was really driven more by species that it was by service cost. Cardium wells typically have shorter laterals. We are trying to get as much frac intensity on them as we can. But the extended to reach horizontal, obviously dragged down that cost per meter in a big way, both on a per stage basis, and on a per meter drilling basis. And we didn’t have much of that in the first quarter. We plan to have a bunch more Spirit River extended to have to horizontals in the balance of the year. And so that should help, stretch some of those costs out. Do you guys want to add to that?
Dave Thomas: Yes. I think you look at that table, that includes all of our – all of the wells that we participated in. So, there is a couple of a few operated wells there that we participate and the costs were significantly higher. So, from what we control and going forward, we are going to see costs, going forward much better than that. I think Lee, do you want to add to that?
Lee Curran: Yes. Sure. That’s a good point. There is a clear representation in the data we have that shows our relative advantage on cost structure relative to our peers. We had the opportunity to participate in some non-art work and that clearly illustrated the advantages of our cost structure relative to some of our peers out there in the Greater Brazeau area. The biggest elements of cost creep, that is a little concerning. And I wish I had a crystal ball on it as steel is OCTG’s. We have watched steel alone, almost double, basically doubled from its lows about 1.5 years ago. Since that point in time, the mill capacities have been a little restrictive. They scaled back. Well, obviously, the kind of global economic concerns got us to a point where there was really no excess inventory on the ground. So, we didn’t have a position if we chose to do so to really load up on low dollar pipe. You would have had to be pretty predictive of how the future was going to unfold. So, now it’s just in-time delivery. And with that comes some significant cost increases. We are getting to a point I hope that that’s stabilized and we start to see some retraction in that pricing, capacities are expanding. So, I don’t think we will see it till the last half of the year. But we are optimistic about that. But our cost is very sensitive to that on the capital front. We run a lot of a lot of pipe in these wells. And with that, we are going to continue to evaluate designs, and maybe scale back on some of our designs and see if we can minimize the amount of pipe we are installing. That’s a big factor. And it’s a big hunk of our overall inflationary pressures just as one single line item.
Darren Gee: So, Mike, when you think about this decision to accelerate into the quarter, it’s kind of an easy one, if you say, well, let’s take $20 million, or $25 million of capital that we were going to spend in Q4 that has some real risk of inflation on it. And let’s just pull it right into Q2, where we know where the costs are.
Dave Thomas: And we don’t have to then risk it that it’s going to cost a lot more. And then when we get to Q4, if it turns out that the inflation isn’t as bad as we feared, then we can add some more capital to the program. If it’s worse than here, then are we glad that we did things a lot earlier in the year that when they cost cheaper.
Darren Gee: The part about it was especially with the steel element is we have to remember, we have mill allocations. And there are a lot of peers or competitors out there that simply can’t get it. So, we have our allocations. We have trusted business relationships. And so despite the price, I mean the price is one element, but the ability to actually obtain the goods is pretty critical right now to.
Lee Curran: Which becomes a natural governor on the industry activity. You just I mean you can’t drill well, if you can’t get the casing and do it.
Michael Harvey: Right. So, is it fair to say that the frac cost is considered – the increases in frac costs are considerably more than those of the drilling costs, even including the effect of casing prices, is that fair, or maybe I am just pulling too much…?
Darren Gee: We are just reading into the math for the quarter there, just the stage count numbers and just the individual wells that we drilled. Some of them might have been a little shorter in lateral length. And so then you don’t get as many stages off that you want to in those wells. And so just the average math is, is giving the numbers a little bit. I think let’s not read too deeply into that ratio, just for this quarter. Let us get the rest of the quarters for the year done. And I think we will see that the per metric costs actually come in line with and along the same lines as the type of inflation that we are expecting.
Michael Harvey: Thanks Darren. Thanks for that.
Darren Gee: Yes. You bet.
Operator:  Our next question comes from line of Nathan Schwartz as a private investor. Your line is open.
Nathan Schwartz: Yes, quick question about share count. Can you provide some detail on the dramatic increase in basic and fully diluted shares outstanding? And should we expect going forward for the dilution, significant dilution to be an annual event?
Darren Gee: It’s a good question Nathan. And we have seen our share count creeping up here over the last few quarters directly resulting from our compensation program, our stock option program. So, employees who have received stock options over the last couple of years at a much lower share price are now starting to see their options in the money. And so they are taking advantage of those. I am glad to see it. It also means our share price is going up. So, shareholders are enjoying that rise in share price. Typically, our option program out in front of us, our expectation is we are going to have more than about 5% dilution on the whole thing. But stock options are performance based compensation practice that is used throughout our industry. We tend to have them here at Peyto, not only to incent everybody to do their best to deliver the results that should make our share price go up. But also it is – it’s hard to hire people away from other companies that have stock options if you don’t offer the same. So, in terms of the compensation package, we have to somewhat be aligned with the rest of the industry to be competitive for new employees. But that dilution that you are seeing, when we calculate a fully diluted metric, we are assuming that all of the outstanding options are exercised. If they are in the money, which at the current time, they all are, that new options that are awarded today, of course, our share price has to go up for them to be in the money. And we fully hope and expect that if we continue to execute, as well as we have been that our share prices should reflect that success.
Nathan Schwartz: Okay. Great. Thanks.
Darren Gee: You bet.
Operator:  It looks like we have no further questions in the queue. I will turn the call over to Darren for any closing remarks.
Darren Gee: Okay. Well, that was a good call, lots of good questions on the quarter. It’s a bit of busy, a busy quarter of releases. And today I think it’s a busy day in terms of conference calls and whatnot. So, I think we will probably just wrap it up there. I think we covered most of the pertinent issues of the quarter. We had a very good quarter, by all measures, and we are pretty excited about the balance of the year, as you can hear in the voices here. We don’t need these fantastic gas prices to carry forward to even $4 on the far end of the futures curve is a fantastic price in terms of our economics. But we are sure going to love it when we can get $7 or $8 to this is a bit of a whole new world for us. And it happened quite dramatically. We only made $212 million of cash flow in 2020 and we just posted $203 million this quarter. So, that’s an enormous gain in the last couple of years. And we really didn’t – we get the full of bang for our buck yet, which we will get here in subsequent quarters. So, it’s an exciting time to be a gas producer. And we are going to keep doing our part to try and have a lot here in Western Canada that we can hopefully share with the rest of the world. This clean, responsibly developed natural gas energy that the Peyto is known for. So, thanks for tuning in. And we will be back to you in August with the second quarter results after breakup with some of our drilling results and how we are doing and, of course, watch our website for my monthly report. You can follow along how it’s going. Thanks for tuning in and we will talk to you next quarter.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone have a great day.